Operator: Good morning, and welcome to the Innodata Third Quarter 2017 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Amy Agress. Please go ahead, ma'am.
Amy Agress: Thank you, Alexa. Good morning, everyone. Thank you for joining us today. Our speakers today are Jack Abuhoff, Chairman and CEO of Innodata; and O'Neil Nalavadi, our CFO. We'll hear from O'Neil first, who will provide a detailed review of our results for the third quarter and then Jack will follow with additional perspective about the business. We'll then take your questions. First, let me qualify the forward-looking statements that are made during the call. These statements are based largely on our current expectations and are subject to a number of risks and uncertainties including, without limitation, that contracts may be terminated by clients; projected or committed volumes of work may not materialize; our Innodata Advanced Data Solutions segment, IADS, is a venture that has incurred losses since inception and has recorded impairment charges for all of its fixed assets. We currently intend to continue to invest in IADS; the primarily at-will nature of contracts with our Digital Data Solutions clients and the ability of these clients to reduce, delay or cancel projects; continuing Digital Data Solutions segment revenue concentration in a limited number of clients; inability to replace projects that are completed canceled or reduced; our dependency on content providers in our Media Intelligence Solutions segment; depressed market conditions; changes in external market factors; the ability and willingness of our clients and prospective clients to execute business plans, which give rise to requirements for our services; difficulty in integrating and driving synergies from acquisitions, joint ventures and strategic investments; potential undiscovered liabilities of companies and businesses that we may acquire; potential impairments of the carrying value of goodwill and other acquired intangible assets of companies and businesses that we acquire; changes in our business or growth strategy; the emergence of new or growing competitors; various other competitive and technological factors; and, other risks and uncertainties indicated from time to time in our filings with the Securities and Exchange Commission. We undertake no obligation to update forward-looking information and actual results could differ materially. Thank you. I will now turn the call over to O'Neil.
O'Neil Nalavadi: Thank you, Amy. Good morning, everyone. Thank you for joining us today to review our financial performance for the third quarter 2017. Total revenues this quarter were $15 million compared to $15.3 million last quarter and total adjusted EBITDA was $220,000 compared to $950,000 last quarter. I will now review key line items and segment performance on a sequential quarterly basis. Digital Data Solutions' revenues were $11.6 million this quarter compared to $11.8 million last quarter. Last quarter, however, we benefited by recognizing $1.1 million of revenues upon cash collection for services that we delivered in prior quarters. So, if we exclude this, then on a comparable basis, our third quarter revenues were actually higher than our second quarter revenues by $900,000. This $900,000 increase was attributable to one customer for which we began work this year. IADS revenues were consistent at $1.2 million this quarter consisting of Synodex revenues of $1 million and docGenix revenues of $200,000. Synodex revenues increased by $100,000 this quarter, offset by lower project-based revenues in docGenix. In our media intelligence business, revenues were $2.2 million compared to $2.3 million last quarter. As a result of lower customer comps. We ended the quarter with approximately 1,100 direct customers, down from 1,130 customers we had at the end of Q2. Although our indirect customer count increased from 400 to 450. Consolidated gross margins, excluding acquisition-related amortization expenses, were $3.8 million this quarter or 25% of revenues compared to $4.1 million or 27% of revenues in the prior quarter. At the segment level, the gross margins in our digital data solutions business were consistent at $3 million or 26% of revenues in both the quarters. Moving over to our gross margins were at breakeven this quarter compared to $200,000 in the prior quarter. Lower margins were primarily attributable to certain software maintenance costs that were incurred during the quarter. In our media intelligence solutions business, gross margins, excluding approximately $250,000 of acquisition-related amortization expenses, were $860,000 or 39% of revenues compared to $920,000 or 40% of revenues in the prior quarter. Our gross margins were lower as a result of lower revenues. I would now bring SG&A expenses. This quarter our expenses were $4.4 million compared to $4 million last quarter. SG&A costs were higher by $400,000, primarily due to higher expenses in media intelligence business and DDS. SG&A expenses in DDS were $2.7 million this quarter compared to $2.6 million last quarter. Last quarter, we benefited by $250,000 of recoveries in respect of previously-written off accounts receivables. If we exclude this benefit, then on a comparable basis our expenses this quarter were $2.7 million compared to $2.8 million last quarter and these are lower due to tighter cost controls. In IADS, expenses were also lower by $50,000 at $230,000. And in MIS, they were higher by $350,000 at $1.6 million. MIS expenses were higher due to a combination of higher marketing expenses, hiring fees, higher than normal accrual for doubtful account receivables and payroll expenses. We expect the expenses to go down next quarter by approximately 10%. Moving down to pretax earnings, our pretax losses were $900,000 this quarter compared to $150,000 in the previous quarter. This $750,000 increase in pretax losses was attributable to lower gross margins of $350,000 and higher SG&A expenses of $400,000. Our adjusted EBITDA was $200,000 this quarter compared to $950,000 last quarter. This comprised of $1 million earnings in digital Data Solutions, offset by losses of $550,000 in Media Intelligence and $250,000 in IADS. Moving to net earnings, income tax and profits earned by offshore subsidiaries was $300,000 this quarter compared to $90,000 last quarter. After deducting tax expenses and minority interests, our net loss was $1.1 million compared to $160,000 in the previous quarter. Our cash and investment balances were $12.5 million this quarter compared to $15.3 million last quarter. Our cash balance was lower primarily for two reasons. First, we refunded the third quarter a significant part of the approximately $2 million in excess payments made by a customer in prior quarters and two, for approximately $900,000 of cash used by MIS business. A significant part of our cash balances continue to be held overseas, so we fund our US cash needs from overseas balances. In the third quarter, this resulted in a $1.2 million dividend income for our US tax purposes. Our capital expenditures this quarter were $600,000 compared to $1.2 million in the previous quarter. Looking ahead in the fourth quarter, we expect CapEx to be in the range of $600,000 to $800,000. I will now turn to foreign exchange hedging program and other items. At the end of the third quarter, we had approximately $20 million in outstanding forward contracts to hedge our exposure for both foreign currency denominated expenses and revenues. Based on mark to market, our forward contracts have notional losses of $200,000 at the end of the third quarter. Looking ahead in terms of guidance, for the fourth quarter we expect revenues to be in the range of $14.4 million to $15.3 million. With Digital Data Solutions in the range of $11 million to $11.6 million, IDAS between $1.2 million to $1.4 million, and Media Intelligence between $2.2 million to $2.3 million. Thank you and I'll pass the call over to Jack.
Jack Abuhoff: Thank you, O'Neil. Good morning, everyone and thank you for joining us today. I'm going to provide some additional context for where we are and what we're working on. On the revenue side, we're clearly lagging where we want to be. We're going to talk about what we're doing to change that. On the cost management side, we've made some good progress. I'll review this so that it is apparent to you what we've achieved and where we're going to be going into next year. I'll start with our Digital Data Solutions business. As O'Neill mentioned, Q3 was essentially flat with Q2 in terms of revenue gross margin. Since our Q2 was benefited by a one-time recognition of $1.1 million of revenue for work that we produced last year, the fact that we were able to keep revenues and gross margins intact in Q3 was a positive. We effectively substituted Q2's $1.1 million one-time revenue recognition with increased requirements from an existing customer who performed the increased work with our existing cost base. That said, our bookings and revenues performance in our DDS business has substantially trailed our targets, as our core markets of information companies and publishers continue to experience margin pressure, their pain becomes our pain. And we're seeing fewer new product builds and increasing price pressure on a lot of the ongoing product maintenance work that we do. Our client partner account management team, all of whom were hired last year and this year, has redoubled efforts at aligning with our largest customers to help them with their challenges and we're starting to see an early return on investment in terms of pipeline development. But this progress has been too late in coming to impact 2017 revenue to the extent we had planned. In terms of cost management, we've taken various steps to lower our annual fixed and semi-fixed operating costs. We expect these efforts will result in approximately $2 million or more in annual cost savings when you compare our cost base going into next year versus our cost base going into this year. At the same time, our R&D activities within our Innodata labs organization, which are focused on machine learning and artificial intelligence, are helping us reduce the labor required on certain of our projects, which translates to reduced variable costs of goods sold and offers more compelling cost savings opportunities to our customers. As a result of diversifying into other digital data businesses that drive recurring revenue, our overall business is now close to 90% recurring. Still the DDS business remains vulnerable to customer concentrations and even on ongoing engagements, there are often customer dependencies that make it difficult for us to forecast revenues quarter to quarter. For example, there's an ongoing customer engagement for which we had billings of more than $1 million in the quarter, which is anticipated to continue throughout 2018 but in forecasting Q4, we're having to range revenue widely due to certain processes that have to take place on the client side before we're able to finalize our deliverables and recognize revenue. I'll now segue to our Synodex business. Synodex revenue increased by about 11% in the quarter and we're anticipating a continued revenue improvement in Q4 as a result of new engagements and seasonal demand. Our current levels approximately $3.5 million to $4 million on an annualized basis. On the cost side, we've continued to improve our operating efficiency through technology enhancement, finding ways to take costs out of the model, and rationalizing the resources we dedicate to the business. As a result, we're anticipating that Synodex will be profitable next quarter at its anticipated revenue level. There are a couple of very late stage opportunities that we're forecasting to book in Q4 or early Q1, which together should account for about $1 million of additional annual contract value. There is, however, a current account that may exist the business of medically underwritten complex life insurance next year and their potential loss, which could occur in Q2, could offset these two likely new wins. Our total pipeline value of opportunities that we're pursuing now stands at approximately $16.7 million in annual contract value and we have several products in process. Finally, I'm going to talk about the Agility business. Our Agility business includes both the Agility subscription-based SAS products for media targeting and distribution that we acquired in Q3 of last year from PR Newswire as well as the Media Intelligence managed service business that we had previously branded as Media Miser. In Q3 last year, after the combination, we posted revenues of approximately $2.9 million, which included a one-time recovery of $240,000 as an acquisition cost adjustment. This quarter we posted revenue of $2.2 million. Putting the adjustment aside, this is a 17% decline. Of the 17% decline, 4% is attributable to the Media Miser side of the business, where customer count remained flat but average revenue per customer declined somewhat. But 13% of the decline is attributable to the acquired Agility business, which declined quarter over quarter from $1.6 million to $1.2 million or 22%. We believe that this level of decline is attributable to the transition and should not be viewed as evidencing a systemic problem in the business. Of the 1,379 clients that came with the acquisition, we renewed 754 or 55%. Much of the fall off were clients who it turned out were not actively using the product. Some of these clients ended up order renewing but informed us quickly once we build them, that they would terminate at the next opportunity. There are 56 clients remaining that fall into this category and they will fall off in Q4. And we believe that after Q4, once these transition issues are out of the way, we will be on solid footing to target a 75% renewal rate. So, let's look at what 2018 might look like. We expect to go into Q1 with approximately 700 of the original clients, 192 new clients that we've added in the five quarters since the acquisition, plus clients we add in Q4. Since we've added an average 40 clients per quarter, I'll assume that we'll add 40 in Q4. That would be a total of 932 clients. Looking at the numbers, if we go into the year with 932 clients and achieve a renewal rate of 75%, then we could project about $4 million of revenue from the clients with which we go into the year. After taking into account another $1 million to $1.5 million of revenues from resellers, awards programs, up sales and add-ons, to position the business for 20% growth rate, we'd need sales to be adding another 80 or so clients per quarter in the medium term. In this calendar year, we averaged 42 new clients per quarter. Fortunately, however, this year we made substantial investments in digital marketing that have begun to show strong leading indicators. In the last quarter alone, we increased our marketing qualified leads by 19% sequentially, and increased the number of demos we conducted for new customers by 80% sequentially. So, we're getting not just more leads out of marketing, but better-quality leads. In addition to our direct sales efforts, we will also be looking for the channel partnerships and reseller agreements we've put in place this year to contribute to the result. In terms of market size, our addressable market is over $1 billion, dominated by two large competitors, Scission and Meltwater. Many of the clients we've won in Q3 were in bake offs with these large players, so we know we have the products and services to compete. Moreover, now that technical integration is largely out of our way, our engineering team is releasing new features and functions that our customers and prospects are looking for. Some of these needed enhancements we've already made. For example, when we acquired the Agility database, the user could expect only 71% of the emails he sent to journalists to reach the targeted journalists. But thanks to the work we've done to improve the database, a user can now expect more than 95% of his emails to reach their destinations. I'll now open the line for questions, after which I'll wrap up with some final comments. Operator, we're now ready for questions.
Operator: [Operator instructions] We will take our first question from Mark Jordan. Please go ahead. Your line is open.
Mark Jordan: Good morning, gentlemen. I guess following up on your last comments on the Media Intelligence Solutions group. Given the detailed estimates you've sort of or goals you have for the top line in that segment, what is the -- what implications does that have for free cash flow or EBITDA that the segment should generate in 2018?
O'Neil Nalavadi: Hi, Mark. This is O'Neil. So, let me take a stab at that. The current quarter, if you look at current quarter, we had revenues of approximately $2.2 million and the EBITDA loss was approximately $550,000. At this, the current quarter included approximately about $200,000 of expenses that we considered as one-time, which was primarily on the account of hiring fees and additional accrual for doubtful debts. So, the estimated EBITDA breakeven point for that business is about $2.5 million. That's what we're looking at and in terms of free cash flows, the breakeven point for free cash flows is about $2.7 million to $2.8 million. The business enjoys, obviously, a very, very high operating leverage. The additional contribution to the bottom line for every dollar of additional revenues could be from between 85% to 95%. The lower range is primarily when we sell managed services and when it is Agility-based products and modules are as high as 95%. I hope that's helpful.
Mark Jordan: Yes. Relative to the Synodex business, you stated a goal of profitability over the next quarter. Given the outlook that you have, which is favorable pipeline, a couple of positive customer acquisitions, but a questionable customer may go away that might balance it out. Would it be fair to assume then that the outlook for 2018 in Synodex would be breakeven as a base and then the ability to reap more from that pipeline would be requisite to having meaningful profitability generated from that business?
Jack Abuhoff: Yes, Mark. I think, this is Jack. I think that's a fair statement. We've done a lot of work on the cost side to get to where we are now. We're doing some and we're continuing to do that. You know a lot of the technology development we've done is really improved our efficiency and we'll be doing some cost rationalization in terms of the resources that we dedicate to it. As we said, you have got a couple things that we think are very late stage, anticipated as Q4's or early Q1's, which you know if this other customer does end up going away, those would pretty much substitute. Behind that, we have a robust pipeline and in that business also, the operating -- you know the leverage is pretty high. So, we get the benefits of a lot of that pretty directly to the bottom line.
Mark Jordan: Okay. And a final question from me, in the DDS business, with the overhead cost reductions you've had, do you feel that those would be sufficient enough to offset sort of the normalized pricing pressures you see in the marketplace and so, therefore, that you would expect overall margins to be flat at or potentially modestly up?
Jack Abuhoff: We haven't finalized our plan, our 2018 plan for DDS and as we've known and recognized through really our years of managing that business, one of the challenges to the business is revenue forecastability. It tends to be lumpy and bumpy as projects wax and wane. You know really our approach to the business is to run the two things in parallel on the cost side. One is increasing our efficiency very dramatically through machine learning and artificial intelligence. And we think that through that effort, we'll both increase efficiency and will become positioned to offer very compelling opportunities to clients and other work and business and operations that they've got. In addition to that, we think that it puts us in a position to offer some other services to wider markets. The other thing we've doing in combination with that is we're looking at how we manage the business, how we run the business, you know our level of fixed costs and we're trying to figure out ways that we can variabilze some of those fixed costs to make us more agile in terms of our ability to react to those ebbs and flows that are inherent in the revenue stream.
Mark Jordan: Thank you very much.
Jack Abuhoff: Thank you.
Operator: And We will take our next question from Tim Clarkson with Van Clemens. Please go ahead. Your line is open.
Tim Clarkson: Hey, O'Neil. Hey, Jack. Just wanted to go over a couple things, just kind of division by division. So, on the -- I guess on the traditional business, can you talk a little bit about, does Innodata have some proprietary advantages in this machine learning, artificial intelligence? And how does it fit with what's out there? I mean what can you guys do that would be different from what Google does or what Microsoft does or some of the bigger players in that area?
Jack Abuhoff: Hi, Tim. Well, good morning. Thank you for the question. It's a big way. It's a complicated one that we could probably spend a whole day discussing. I think the -- there are a lot of things that are going on in the world of technology that are coming together to enable machine learning and artificial intelligence to be very impactful to business and to the kind of business that we do. I think we're taking a leadership role in terms of applying those technologies to the types of business that we do and that our customers do. A lot of the work that we're doing is built on frameworks that are being released by the large companies that you're describing. So, I don't see us as being competitive with them. I think that there's a lot of very important cooperation and exchange and openness that's enabling us to drive the accomplishments we've got. You know what we're able to do is we've got I think a unique asset among our competitive set. We've got a AI innovation lab, principally stateside that is -- you know has some leading data scientists in terms of entity extraction and you know other things that won't mean a lot to us, but you know are very important when applied to the kind of business that we do. We're building tools that are enabled -- are repeatable. Can be used in multiple kinds of projects. We're introducing them to our customer base. We're inviting our customer base to consume them in new and different ways. So, I think we're well positioned to harness the capabilities that really only emerged in the last 12 months with some of the frameworks and things that are now out there and we're taking a leadership role in terms of applying those in innovative ways to the business of publishing and the business of information service.
Tim Clarkson: Okay, a lot of this is pretty complicated but obviously you're starting to see some results, both internally and also on that big project that you've got going. And obviously, it went pretty well this last quarter. I assume the customer's still happy with the kind of work you're doing?
Jack Abuhoff: Yes, you know the customer's very happy. And you know there's an interesting anecdote there. First of all, we absolutely had to leverage the capabilities of our AI innovation lab, in terms of tackling this project. It's a big one, where you know based on what I'm hearing from the customer now, we're expecting that it's an ongoing engagement that you know multimillion dollar levels, ongoing basis. And anecdotally what I also hear from them is when they figured out what they needed done, you know they took that requirement to seven companies and that included some of the leading IT app development organizations. Of the seven they took it to, there were two that were able to do it and we were one of them. So, you know I think the investments that we've made in this area are important ones and distinguishing ones and will bring a nice return to us. They already have.
Tim Clarkson: Right, okay on the other two divisions, on the IDS, you know just to kind of do the numbers simple, it seems like two years ago you did a half a million, you know by the fourth quarter year ago, about $1 million. Now this year you're approaching $1.4 million, $1.5 million. I mean is it a reasonable to think that you'll be in the $2 million, $2.5 million level by the end of the year? Is that a reasonable expectation or is that too conservative or is that a ballpark kind of number that's possible?
Jack Abuhoff: You know we -- I guess two things there. First of all, you know we are now working on our 2018 plan. But that having been said, one of the realities is we've been really bad at forecasting when these deals close, historically. I will confess that. We have been -- you know we see huge potential. We see great momentum, great engagement with our clients but things move very slowly in this sector, in the life insurance sector. So, you know I'm not going to put a number on it. I think the important thing that we're seeing is with the adjustments that we're making in the business and the revenue level, we're forecasting profitability next quarter. We're hopeful that we've got a couple of closes that will add to our book of business. If we end up losing one of the accounts in Q2 because they exit the business, nothing to do with our service, you know they just don't need us anymore, these two new adds should effectively be a wash. And you know we'll be then positioned to drive the pipeline just as hard as we can and you know enjoy the operating leverage on the way up as we drive the business forward.
Tim Clarkson: So how many customers do you have in the IDS, on the insurance end right now?
Jack Abuhoff: You know I don't have that count. I was going to say 12 but O'Neil says 10, yes.
Tim Clarkson: Okay, so 10 to 12 and you might lose one, you might pick up two, something like that. And of the remaining 10, are they satisfied with quality of the work that you're doing?
Jack Abuhoff: Yes, no everybody we're working with is satisfied with the quality.
Tim Clarkson: Okay and then finally on the Agility side, so you know you've been successful with picking up new customers, it's just that you've been the bucket's had a hole in it. You've been losing some of them. What's the competitive advantage when you are getting customers from the competition? What does Agility have or the combination of Agility and the Canadian firm, what do they have that makes that a compelling proposition?
Jack Abuhoff: I think there are a lot of things. I think we've got a really good product. The product is getting better. Frankly, you know the product when we kind of got it into the shop and you know onto the work bench, we found that there were some problems with it. One of them I talked about on the call. You know only 71% of the targeted journalists that people would choose and target would actually complete, would actually hit. In, you know if Innodata knows anything, it's you know we understand the database business and we knew that that wasn't acceptable. So, you know, we did a lot of work to it and now we're enjoying hit rates in the high 90%. So, we've taken a good product and we've made it great. There are a lot of other advantages to the product. The UI is great. It's very user friendly. People like it. You know our coverage in terms of targeting is expanding. We're doing a lot on of the social side as well as traditional journalist side. And I think our company culture is a very strong one and it's a very service-oriented culture, which a lot of folks are drawn to. You know we really help them figure out what it is that they need to accomplish and we help them figure out how we're going to accomplish it with them.
Tim Clarkson: Right, right.
Jack Abuhoff: And we're hearing things from customers for that.
Tim Clarkson: What is that industry on average growing at, just the overall industry? If it's a $1 billion industry, what kind of average annual growth rate is out there right now?
Jack Abuhoff: There are kind of three pieces to the business. There's the monitoring, the, you know, the targeting, the database and then the analysis. So, the monitoring is about 6%. The database is about 7% growth rate. And the analysis is about a 9% growth rate. And you know if you, in terms of market overall, it's in excess of $1 billion.
Tim Clarkson: Right.
Jack Abuhoff: There are two dominate players. You know we are hardly even on the map, but you know we've -- the kind of cool thing is we've got the full suite of products to compete with even the biggest of those competitors.
Tim Clarkson: Right.
Jack Abuhoff: It's a fun position to be in.
Tim Clarkson: Right. You have plenty of customers to go after, I assume?
Jack Abuhoff: That's right.
Tim Clarkson: All right. Okay, I'm done. Thanks.
Operator: [Operator instructions] We will take our next question from Steve Kohl with Mangrove. Please go ahead. Your line is open.
Steve Kohl: All right, good morning, guys and thanks for taking my call. Wanted to first of all I guess compliment you on hitting the number that you had last quarter. I know it's not easy as you've alluded to. I think the problem that I think I have and I think a few others do is that when we're looking at these numbers, you know we're not really changing very much. And I think Jack you've alluded to the challenge in driving top line growth and getting folks engaged in the Innodata story it makes it difficult. So, I think we are shoulders and I guess you guys as management have long believed I think that Innodata is a classic case where the sum of the parts is greater than the whole. And I guess along those lines, I'm starting to wonder if you guys have considered strongly conducting more of a review here. So, look at what those options are and what we can do to start to maximize shareholder value.
Jack Abuhoff: Sure, Steve, it's a great question. And you know the -- we came out of an offsite board of directors just last week, actually and we spent a lot of time talking about exactly that. You know very focused on shareholder value, very focused on what we've been able to accomplish in some of these businesses and we're looking at you know how do we best position them for growth? How do we best position them in terms of their strategies? Are they best considered as part of a whole? At what point might they be better off you know in other hands or you know setting off on their own direction with their own sources of capital? So, I think it's a very important topic, one that we're very actively engaged in talking about.
Steve Kohl: Okay and I guess one follow up, Jack, is and again as a shareholder that's been around for awhile, you see the stock drifting down and you know we see obviously there's limited windows, but as we start to approach a buck, at what point should we expect to see folks actually buy stock from the inside? I know you guys have periodically over the years, but you know we haven't been down here in a while. Is it wrong to assume that folks can dig some money out of their perspective piggy banks and buy stock or what should we, how should we be viewing that or now if we don't see that, I guess is probably the operative question?
Jack Abuhoff: Yes, well you know I -- first of all I think that at this price I would certainly like to think that relative to where we can take the company, the stock is selling at a very steep discount. You know now that said, I would encourage you to encourage insiders and encourage us to be buying stock. I think it's the right thing to do. When we're not or when you don't see it, I would not view that though as you know that we're bearish on the stock or thinking that there isn't value there. We've spent a lot of time over the last 12 months in a closed window for all sorts of various reasons where we cannot either as a company or individuals trade on the stock. So, and I know that when that's the case, that isn't apparent to people but you know--
Steve Kohl: And I hope we do get a plan where the window does open, but I can appreciate it makes it challenging obviously if it isn't. But very good, thank you guys and certainly appreciate the update on the business.
Operator: [Operator instructions] We do have another question from George Melas from MKH. Please go ahead. Your line is open.
George Melas: Hey, Jack. Hi, O'Neil. How are you?
Jack Abuhoff: Hi, George. Good morning. You're coming in a little bit unclear. I don't know if there's anything you can do on your side.
George Melas: That should be better. Maybe I just sort of follow up a little bit on the previous caller and Jack you mentioned you had offsite with directors. I just want to try to understand how the directors, how the board evaluate you guys? Because it seems that -- it seems like sort of every quarter there's some interesting update. There's some new opportunities. But the business has really not performed for a number of years. The stock price clearly reflects that. And the business has been losing money for a number of years. So, the balance sheet has gone from incredibly rock solid to sort of getting, you know just okay but very much not what it was. So, I'm just trying to understand how, you know first of all, how did the board say they would evaluate you in 2017? And do you compare to you know to those expectations? Maybe that's my first question.
Jack Abuhoff: Well, I guess, George, you know our board is functioning I think the way most boards would and should. You know they're looking very closely at the performance of the business and they're looking very closely at some of the underlying metrics of the business. You know they're very engaged. They're very focused on each of the businesses and each one is complex in and of itself. And there's a lot of focus on it and there's a lot of brainstorming about what the things that we can do to improve them. In terms of performance, we're not happy with ourselves. You know I mean there's no way to state it other than plainly. We're working very, very hard. There is progress being made. But it's not yet showing, certainly not reflective in our stock price and it's not yet reflective in our results. In the individual businesses, I'm hoping that we're able to convey enough of what's going on to give people some reason to aspire and believe that things will improve. We believe they will and we're working very hard to make that happen.
George Melas: Right, right, right. I'm just wondering, I mean at the beginning of every year, I am -- I see you guys had no bonus in '16. I think O'Neil you got a bonus related to the Agility transaction and to the work related to there. What was the bonus sort of structure and expectation in '17 and what was it based on? Was it based on revenue growth or EBITDA or what are the metrics that the board is really sort of using to hold you guys accountable?
Jack Abuhoff: So, the metrics that we've customarily used have been revenue growth, have been profitability, both you know consolidated and divisional and then you know specific KPIs relative to you know kind of the underlying metrics that we need to do to get the company performing. We have not performed in accordance with expectations this year in terms of our plans. Things have been very difficult we've found to forecast. There have been some surprises that we're working through. And you know we do believe though that we're doing the right things in the business in order to make it a sustainable business. We've spent you know years looking at the DDS business and saying, you know what, among our competitive set, among other companies in this business, it's simply not a business that drives sustainability, that drives you know forecast stability, stable revenues, stable earnings. And that's why we decided we needed to kind of innovate out of that. It's been a tough road. It's not easy innovating under intense public scrutiny. The process of innovating is not linear. It's not predictable. But again, you know what I'm hoping that we're doing in these calls is sharing with you enough about the underlying businesses and having one-on-one conversations with folks also, that you understand where we're going, what we're doing and you start to believe that the things that we're doing will achieve the results that we all want.
George Melas: Great. So, is it fair to say that in '18, you have -- it's likely that the Synodex or the IADS business turns cash flow positive or EBITDA positive first of all and stays that way? And that the Media Intelligence business returns to, I don't know if return is the right word, but reaches breakeven as well? Are those two goals that I know you have been sort of outlining your, you know you haven't defined your budget and the plans for '18, but are those reasonable expectations?
Jack Abuhoff: I think they are reasonably achievable. Yes, I think we've got the pipeline. I think we've got the momentum to achieve that and we've got to finish the exercise of taking all of those estimates and guesstimates and reducing them to a spreadsheet. One of the tough things to call always is, you know, in a business with a lot of operating leverage and client concentration, where does that leave you? What are you going to win? What's going to fall off? When we look at the Agility business though, for example where there isn't that kind of client concentration, where you know there's much more forecast stability going forward again, once we digest these transitionary issues. it's strategically the right kind of business. It fits well with what investors are looking for. The core of our business never did. So, again, I think moving in the right direction. I think next year we're going to look for breakeven or profitability in the businesses. I think we've got the momentum largely to achieve that. We're working the cost side as well. And that's where we are.
George Melas: Okay and then did I hear you right that the DDS business right now is 90% recurring? Is that, is that--?
Jack Abuhoff: Yes, that's right.
George Melas: But 90% recurring basically means that at the beginning of the quarter, you have visibility into 90% of the revenue for the quarter or does that mean that these are 90% of revenue is on sort of a long-term contract or subscription or transaction contract?
Jack Abuhoff: Sure.
George Melas: What does the 90% recurring mean?
Jack Abuhoff: Yes, so just a correction there. What we said was the business overall was approximately 90%.
George Melas: Overall.
Jack Abuhoff: Overall. And when we say…
George Melas: What about DDS?
Jack Abuhoff: And when we say that it's recurring, you know some of the business is a little bit hard to categorize. You know we don't look at the nature of the underlying contract. What we do is we look at the nature of the underlying business. Is it something that somebody either has to consume on an ongoing basis or you know if we're in a kind of a product build mode, will that build mode then shift to an ongoing maintenance mode that would be expected to continue--
George Melas: Okay.
Jack Abuhoff: Indefinitely.
George Melas: Just a -- but the DDS business, how would you category -- how would you sort of -- what would be the percentage of project base as opposed to things that you can consider to be recurring?
Jack Abuhoff: I think right now it's, we've got a pretty substantial recurring business plus this new work that we're doing for this new client, we're looking at as being you know more recurring in nature based on recent conversations. So, again, the business is, it's lower than it was or is when we're doing a one-off very large project. So, we pride ourselves in the fact that it's -- there's a large recurring element to it at this point. But if another large project came around, we would take it.
George Melas: Of course, of course. Okay, thank you very much.
Jack Abuhoff: Just to help you a little bit on that, and if you look -- if you take the current quarter as a basis, okay $11.6 million, you know approximately 75% of that is that Jack described where we're supporting subscription-based product under maintenance contracts that the customer will continue to need for a pretty long time. The risk that is embedded in those kind of services is primarily we are not the only provider of those services. The customers normally mitigate for those mission-critical maintenance support with two or three vendors. We have a leadership role in quite a few of them. However, the customer can switch from one supplier to another you know every once in a while. We do a pretty good job in maintaining that. So that's, approximately 75%. Another 10% is what Jack described as a customer that we started this year, which is taking the shape of recurring. But it is recurring with a characteristic of some volume fluctuations because the nature of the services. But it is developing pretty well. It's a unique capability that we have built along with what Jack described in terms of machine learning and the AI capabilities then providing great value to customer there. So, the recurring piece is quite high right now.
George Melas: And O'Neil that's one customer.
O'Neil Nalavadi: The real challenge is to improve the revenues. You know if you add another $2 million of revenues, then a lot of it will go to the bottom line right now.
George Melas: Yes, yes. Okay, very well. Thank you.
Operator: And we do have a follow up question from Steve Kohl with Mangrove. Please go ahead. Your line is open.
Steve Kohl: I think I have one last question, guys. When you look at the business, you know the assets you acquired there, I'm just curious. We had some attrition and I know you've spoken to it on some of the renewal rates. Not quite what you would have liked initially. How do you evaluate how that acquisition has gone? I mean can you work through a little bit of the metrics on, you know is it a good deal when we look at it kind of when -- through the rearview mirror here after and from a cash flow perspective or how do you guys evaluate them?
Jack Abuhoff: I guess I'll go first and then I'll give O'Neil a shot at it also. I think it's probably too early on to evaluate it. I mean we continue to evaluate it but it's too --not enough time has gone by to be able to sit back, reflect on it, and say how did we do? I think what will be critical is whether these early indicators, which are showing great signs of success in fact translate into the kind of customer and revenue growth that we're going to be looking for. The team has done tremendous job at putting place that sales and marketing organization, putting in place channel partners, reinvigorating the product. We're probably hovering at around right now, just based on where we are, a one-time -- you know the cost of acquiring the business is roughly equivalent to the annualized revenue level where we are now. Now we know that comps in the industry, the recent comps, have been as high as four times revenue level. Those are larger businesses. Those are much more mature businesses. Do we have an opportunity to scale this business and to stand it up in a way that they compare favorably to those? I'm hopeful that we do.
Steve Kohl: Okay. Very good.
Operator: And we'll take our next question from Joe Furst with Furst Associates. Please go ahead. Your line is open.
Joe Furst: Good afternoon there, gentlemen. In the insurance business, did I hear correctly, did you say you're working with potential new clients that are worth around $16 million of annual revenue? Is that correct?
Jack Abuhoff: Yes, so we said that the pipeline value of the third quarter was $16.7 million. And when we say pipeline, that's clients who we have not closed yet who have shared with us their goals, their requirements, their -- the level of work that we do that -- the level of work that they do that could translate into requirements for our business. All of those clients are folks that we're in active conversations with. We're talking about the business. We're talking about their business. We're piloting potential engagements.
Joe Furst: And about how many different companies does that represent?
Jack Abuhoff: I don't that with me but that's probably about 15 or 20.
Joe Furst: Okay. So, you think you would have a good chance of closing a few of them anyway. So that would be quite helpful because it's the kind of recurring business that you've been trying to get these last couple of years. Okay, thank you.
Operator: And we have no further questions at this time.
Jack Abuhoff: So, thank you, operator. I guess I'll just quickly recap you know Q3. We held the line on revenues and gross margins in our Digital Data Solutions business, which was an accomplishment given that in Q2 we recognized over $1 million in revenue that was really produced in 2016. Otherwise, it was a tough quarter in DDS, but that stands out as an accomplishment. In terms of cost management, we're going into the year -- well going into the year, we'll have a benefit of a lower cost base. We're projecting $2 million or more as a result of aggressive cost alignment and rationalization. We're anticipating that Synodex will be profitable next quarter, which will be an accomplishment. We have two engagements in Synodex that we think will be closes either in late Q4 or early Q1, but as we said these could be offset potentially by a cancellation of an existing client who may be exiting the part of the insurance business that we support. Of course, things could change in that front and we're continuing to drive the pipeline that we've got. In Agility, we think that once the transition-related client retention issues are behind us, which we think they will largely be after the fourth quarter, we'll then be in a position to demonstrate sequential quarterly growth. And the early indicators there are pointing to success. So, again, thank you all for joining the call, for your continued interest in what we're doing. Look forward to talking to you soon.
Operator: This does conclude today's conference. Today's conference is available for replay from 2:00 pm Eastern today until December 7th, 2017, at 2:00 pm Eastern. You may access the recording by dialing 719-457-0820 or 1-866-375-1919 using pass code 4780939. Again, the numbers are 719-457-0820 or 1-866-375-1919 pass code 4780939. This concludes today's conference. You may disconnect.